Operator: Good day. And welcome to the B&G Foods Incorporate Second Quarter 2019 Financial Results Conference Call. Today's call is being recorded. You can access detailed financial information on the quarter in the Company's earnings release issued today, which is available at the Investor Relations section of bgfoods.com. Before the company begins its formal remarks, I need to remind everyone that part of the discussion today includes forward-looking statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We refer you to the company's most recent Annual Report on Form 10-K and subsequent SEC filings for a more detailed discussion of the risks that could impact the company's future operating results and financial condition. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The company will also be making references on today's call to the non-GAAP financial measures, adjusted EBITDA, adjusted net income, adjusted diluted earnings per share, and base business net sales. Reconciliations of these financial measures to the most directly comparable GAAP financial measures are provided in today's earnings release. Ken Romanzi, the company's President and Chief Executive Officer, will begin the call with opening remarks and discuss various factors that affected the company's results, selected businesses highlights and his thoughts concerning the outlook of the remainder of 2019 and beyond. Bruce Wacha, the Company's Chief Financial Officer, will then company's financial results for the quarter, as well as its guidance for 2019. I would now like to turn our conference over to Ken.
Ken Romanzi: Thank you. Good afternoon. Thank you all for joining us today for our second quarter earnings call. And with a special thanks to the dedicated team at B&G Foods for working so hard in a challenging operating environment to generate our results. This afternoon, I'd like to provide you a perspective on our second quarter results before I turn the call over to Bruce to provide the details of our financial performance. I'm pleased to report that we had a solid second quarter with results that were ahead of our internal plans, which got us backward our internal operating plan through the first six months of the year, and we believe put us on track to deliver our full year plan to achieve our 2019 financial targets. And most importantly, they are more reflective of the performance that I expect from B&G Foods. Net sales for the quarter were $371.2 million, a 4.4% decline versus last year but a 2.2% increase, excluding the divestiture of Pirate's Booty. Adjusted EBITDA was $71 million, down 4.7% versus year ago but up 5.3% excluding Pirate's Booty. Adjusted EBITDA as a percentage of net sales was 19.1%, more in line with what we're used to at B&G Foods and ahead of our full year target. As we shared with you at the beginning of the year, our 2019 plan, and in fact our longer-term strategic plan, is based on a stable base business, pricing to help offset inflation in all forms, such as the list pricing, weight outs, trade spending optimization and innovation. Cost savings initiatives targeting to take $50 million of costs out of our cost of goods sold over a two to three year timeframe, and of course always on the lookout for accretive acquisitions. I'm pleased to report that all of these initiatives gain traction in the second quarter, and we expect them to continue to gain momentum throughout the remainder of the year. Our base business performance was powered by our largest brand, Green Giant. For the third consecutive quarter, both shelf stable and frozen Green Giant drove growth. Shelf stable grew with new distribution and improved pricing, while Green Giant frozen continued its strong momentum behind our vision of making Green Giant "the plant based" vegetable food brand in the future, fuelled by continued success of our new product introduction. Our vision is to not only introduce new vegetable products in the traditional frozen vegetable category, but to help people get more of vegetables in their diet by introducing new products made with vegetables, expanding the Giant's reach across the frozen food case. We are very encouraged by the successful launch of the latest generation of innovation, such as Green Giant Cauliflower Pizza Crust, Green Giant Protein Balls and Little Green Sprouts Organics. We are very much looking forward to announcing our next wave of Green Giant frozen innovation later this year as we continue to facilitate Americas' healthier eating habits. And a little bit further into the future. Our plans include expanding Green Giant's presence throughout the entire grocery store. We had some other winners across the portfolio this quarter. Following a challenging first quarter performance, we're happy to report that Victoria was up in net sales by about 1.5%. And we continue to believe that this brand with solid growth opportunity as we continue to expand distribution across the country in the growing premium pasta sauce category. Maple Grove Farms had a strong second quarter with net sales up more than 4% on the back of strong retail consumption, coupled with excellent performance within the food service channel. And New York Style had another good quarter, up nearly 4%, benefiting from our merchandizing efforts in the attractive deli parameter of store. And last but not least, the addition of Clabber Girl mid way through the quarter, help add to our net sales growth by over $8 million on track with our expectations. Without Clabber Girl and excluding Pirate's Booty, net sales were roughly even with last year. Our net sales growth was supported by solid consumer takeaway. Total B&G Foods' consumer consumption, as measured by Nielsen, grew 1.4% for the second quarter and 1.2% for the first half of 2019. Sales growth and adjusted EBITDA benefited from the pricing we implemented. We saw benefits of approximately $4 million in pricing during the quarter; inclusive of our list price increase in May of this year; the wrap around benefit of last year's list price increase from June of last year; and from trade spend optimization. Through two quarters, we now have benefited from approximately $11.3 million in improved pricing, well on our way to achieve the $15 million to $20 million in our 2019 plan. You can see this price realization in the Nielsen data with the average per unit price across the B&G Foods portfolio increase 2.8% versus a year ago for the 26 weeks ending June 29th. Encouragingly, our price per equivalent unit increased 4.5% versus last year as our weight out initiatives began to flow into the marketplace. We also continue to be on track with our cost savings plan. We have now fully implemented our dry and frozen distribution realignments as we successfully moved our West Coast distribution center from Texas to California, making a significant dent in our customer delivery spend, while also allowing us to reap the benefits in our internal freight transfers. All told, we have reduced mileage by approximately 17%, taking out nearly 8 million miles out of our dry distribution network through June of this year. Likewise, we have also completed the realignment of a portion of our frozen distribution network, moving from a center in Tennessee to one in Texas. The new Fort Worth Texas location is closer to both our customers and our Green Giant manufacturing facility in Irapuato, Mexico, saving miles and money on both customer and inbound replenishment rate to the rapidly growing Southwest market. Furthermore, our Procurement group continues to do a great job, reducing the impact of raw material pricing despite the inflationary pressures in the industry. And we continue to take costs out of production of our products through weight outs and packaging without sacrificing the quality of these products in the eyes of our consumers. All-in we're on track to deliver our 2019 plan of $15 million to $20 million in cost savings throughout our procurement, logistics, manufacturing, packaging and SG&A spending, which we expect will deliver another $20 million to $25 million in the year 2020. Now, before I turn the call over to Bruce, I'd like to highlight a few other important accomplishments we have achieved at B&G Foods with a little bit larger timeframe to consider. Over the past 18 months, B&G has reduced our outstanding long term debt by approximately $415 million; we repurchased 1.4 million shares of our common stock; completed the sale of Pirate Brands at more than double the price we paid for the business; and made two small but accretive acquisitions in McCann's Irish Oatmeal and Clabber Girl. We also continued to maintain our longstanding commitment to our dividend policy. Earlier this week, our Board of Directors demonstrated this by declaring our 60th consecutive quarterly dividend since our 2004 IPO. Since the IPO, we have returned to our stockholders almost $900 million in the form of dividend. And while we do miss our beloved Pirate on occasion, our financial results this quarter are beginning to reflect the positive benefits of our reduction in long term debt and share repurchases, as well as investments that we made in a pair of acquisitions. Our debt repayments over the past 18 months have resulted in interest savings of almost $4.5 million in this year's second quarter compared to last year. In addition, we're benefiting from the reduction in share count in our earnings per share calculation. As a reminder, after we repurchased almost $37 million of our common stock between mid-March 2018 through mid-March 2019, our Board of Directors extended our stock repurchase authorization for another year through mid-March 2020, and reset the purchase authority to up to $50 million. We certainly recognize the price at which our shares are trading today, and we'll take that into consideration as we consider capital investment alternatives. Lastly, we're very pleased with our most recent acquisition. McCann, which just completed its one year anniversary under our ownership, is performing as well as we expected. And we continue to see upside for this leader in the premium oatmeal category. We're excited about the potential to drive new distribution growth as we fill in the still sizeable distribution gaps to take this on trend better for you brand national overtime. We're also very happy with the acquisition of Clabber Girl. As you know, we acquired this business about 2.5 months ago. Clabber Girl holds the leadership position in retail baking powder, which is a growing category with more than 90% market share position across several brands, including Clabber Girl, Davis and Rumford baking powder, as well as a relatively small amount of private label. In addition to baking powder, Clabber also maintains number two positions in retail baking soda and corn starch. We love this business, and are very happy its now part of the B&G Foods' family. I'd like to now turn the call over to Bruce to discuss the details of our second quarter financial performance.
Bruce Wacha: Thank you, Ken. Good afternoon, everyone. As Ken just outlined, we had solid results in the second quarter as we reported net sales of $371.2 million, adjusted EBITDA of $71 million and adjusted diluted earnings per share of $0.38. Adjusted EBITDA, as a percentage of net sales, was 19.1% for the quarter. Through six months, we have net sales of $783.9 million and adjusted EBITDA of $146.8 million, both of which are ahead of our internal plan and support of over a full year guidance. After adjusting for approximately $25.2 million in net sales for Pirate Brands in the second quarter of 2018, second quarter 2019 net sales of $371.2 million represents an increase of $8 million or 2.2% more than last year. Net sales benefited in the quarter by $10.6 million, resulting from the acquisitions of Clabber Girl in May 2019 and McCann in July 2018. Second quarter net sales benefited from approximately $4 million in benefits from price increases, which were largely driven by our list price increase, as well as improvements in trade spending efficiencies, volume, exclusive of the sales of Pirate Brand and including our acquisitions of McCann and Clabber Girl, increased by $5.1 million. Green Giant continues to be a primary driver of growth within the portfolio with net sales of all Green Giant products, up $8.3 million or 7.9%. Net sales of Green Giant frozen products were up $3.5 million or 4.1% for the quarter. Net sales of Green Giant frozen products benefited from the successful adoption of innovation products. Frozen growth was slower than we have been used to due to the overlap of innovation pipeline fill last year and from reducing trade promotion activity, which hampered volume growth. But frozen consumption is strong and we remain very bullish about Green Giant's growth going forward. Separately, our Green Giant shelf stable products, including the store, are seeing the benefits of the increased pricing and new distribution wins, and we're up sharply, up 23.5% in the second quarter. Among our other large brands, net sales of Maple Grove Farms increased by approximately $0.7 million or 4.1%. Net sales of New York Style increased by $0.4 million or 3.8%. Net sales of Victoria increased by $0.1 million or 1.4% and net sales of Ortega and Cream of Wheat were relatively flat for the quarter. Net sales of the company's spices and seasonings' business decreased by $3.6 million, largely driven by price productions that resulted from lower input costs, certain raw materials, as well as timing. Gross profit was $91.9 million for the second quarter of 2019, or 24.7% of net sales. Excluding the negative impact of $4.9 million of acquisition, divestiture related and non-recurring expenses during the second quarter of 2019, the company's gross profit would have been $96.8 million or 26% of net sales. Gross profit was $81.2 million for the second quarter of 2018, or 20.9% of sales. Excluding the negative impact of $20.1 million of acquisition related and non-recurring charges during the second quarter of 2018, gross profit would have been a $101.3 million or 26.1%. Our plan this year was to increase pricing and implement cost savings initiatives to offset inflation and to maintain gross profit margins. And that is exactly what is happening. For the second quarter of 2019, gross profit benefited from [Technical Difficulty] net pricing of $4 million, bringing year-to-date pricing benefit to $11.3 million. [Technical Difficulty] are also benefiting margins as our cost cutting initiatives have helped to offset the inflationary pressures that we are seeing across the industry, which include the distribution realignment of our Giant frozen networks, the improved procurement and our G&A rationalization from earlier this year. These initiatives, in addition to the Pirate Brands' divestiture, help lower our COGS or cost of goods sold, inclusive of the cost of materials, labor, overhead, freight and warehousing from $307.2 million in the second quarter of 2018 to $279.3 million in this year's second quarter. [Technical Difficulty] cost of goods sold as a percentage of net sales from 79.1% in the second quarter of 2018 to 75.3% in this year's second quarter. Selling, general and administrative expenses increased by $2.6 million or 6.9% to $39.9 million for the second quarter of 2019 from $37.3 million for the second quarter of 2018. The increase was composed of increases in general and administrative expenses of $1.9 million, and an increase in acquisition, divestiture related and non-recurring expenses of $1.5 million, which were offset in part by decreases in warehousing of $0.4 million, consumer marketing expense of $0.3 million and selling expense of $0.1 million. Expressed as a percentage of net sales, selling, general and administrative expenses, increased by 1.1 percentage points to 10.7% for the second quarter of 2019, compared to 9.6% for the second quarter of 2018. After adjusting for the impact of acquisition divestiture related and non-recurring expenses, selling general and administrative expenses expressed as a percent of net sales increased by 0.7 percentage points to 9.8% in the second quarter of 2019 compared to 9.1% for the second quarter of 2018. We generated $71 million in adjusted EBITDA for the second quarter of 2019 compared to $74.4 million in the prior year quarter. This was driven by the benefits of our pricing and cost savings initiatives coupled with two small acquisitions, offset by the negative drag of cost inflation and approximately $7 million of loss contributions following last year's divestiture of Pirate Brands. Adjusted EBITDA as a percentage of net sales was 19.1%, in line with [19.2%] in the year ago quarter and ahead of our full year target of 18.5%. We generated $0.08 in adjusted diluted earnings per share in the second quarter of 2019 compared to $0.38 per share in the second quarter of 2018. This was driven by increased profitability coupled with the operating leverage from the reduction in long term debt, resulting in interest expense savings and the reduction in shares outstanding as a result of share repurchases, more than offsetting the reduction of product contributions that resulted from the divestiture of Pirate Brands. We're updating our full year guidance for 2019, following the acquisition of Clabber Girl earlier this year. We expect the acquisition of Clabber Girl to contribute approximately $30 million to $35 million in net sales throughout the remainder of 2019. And while we expect Clabber Girl to ultimately generate adjusted EBITDA as a percentage of sales that is generally in line with our base business today, we have limited expectations for EBITDA contribution this year as we continue to integrate the business. And as a reminder, our 2018 results include almost [Technical Difficult] in net sales and $10 million from product contributions from Pirate Brands during the last few quarters of the year. For 2019, we have increased our net sales guidance to a range of $1.665 billion to $1.7 billion; we will continue to expect adjusted EBITDA of $305 million, adjusted earnings per share of $1.85 to $2, net interest expense of $85.5 million -- $87.5 million to $91.5 million; including cash interest expense of $84 million to $88 million and interest amortization expense of $3.5 million; depreciation expense of approximately $41 million, amortization expense of approximately $18.5 million [Technical Difficulty] and effective tax rate of approximately 25% 25.5%; cash taxes, excluding the tax effects from the gain on sale of Pirate of $5 million or less for the year; and then finally, we expect CapEx to be approximately $45 million to $50 million for 2019 in line with last year. Based on the midpoint of our adjusted EBITDA guidance range, we expect that our adjusted EBITDA less CapEx, cash taxes, excluding the tax effects from the gain on sale of Pirate and cash interest, will be approximately $175 million to $180 million. The Pirate Brands divestiture resulted in a pre tax gain on sale of approximately $176.4 million during the fourth quarter of 2018. The gain on sale negatively impacted our income taxes for 2019 by approximately $71.8 million. We think it was a tax payment we made during the second quarter of 2019 of $43.2 million and a cash tax refund we otherwise would have expected to receive of approximately $28.6 million. Excluding the negative tax impact of the gain on sale, our net cash provided by operating activities for the second quarter and the first two quarters of 2019 would have been approximately $38.3 million and $88.6 million respectively. During the remainder of 2019, we expect to make cash tax payment of less than $10 million. From a quarterly modelling perspective, I would remind folks that the third quarter of this year have a similar drag from the divestiture of Pirate Brands as the first few quarters. And we expect about $7 million to $8 million or so of loss contribution in the third quarter and an approximately $2 million to $3 million impact from the fourth quarter, given that we only own the business for a portion of the fourth quarter of 2018. And while we expect input costs to remain elevated as inflation appears to be here to stay, we also expect to see more benefits from our pricing initiatives throughout the remainder of the year. These benefits will be coupled with continued activity on the cost cutting front. Finally, based on the midpoint of our adjusted EBITDA guidance and pro forma for a full year benefit of the acquisition of Clabber Girl, we expect net debt to adjusted EBITDA of approximately 5.4 times at the end of the year. And now, I will turn the call back over to Ken. Ken?
Ken Romanzi: Thank you, Bruce. Our second quarter financial performance reflects the momentum that's beginning to take hold at B&G Foods. Base business is stable and is performing as expected. Our pricing and cost initiatives are beginning to deliver. Our two most recent acquisitions, McCann and Clabber Girl, are performing in line with our expectations. And our new linear leadership structure is fully operational and working extremely well together. In summary, we believe that B&G Foods' business plan remains intact and very attractive. As we continue to rental lean but nimble organization that can react quickly to various industry challenges, such as wide spread inflationary pressure; while we also create value through accretive M&A; while simultaneously returning excess cash to our investors through a healthier dividend; and share repurchases from time-to-time. This concludes our remarks. And now we'd like to begin the Q&A portion of our call. Operator?
Operator: Yes, thank you. [Operator Instructions] We'll have our first question from Bryan Hunt of Wells Fargo. Please go ahead.
Bryan Hunt: Good afternoon, Ken and Bruce. My first question is, you talked about your pricing benefits and then you're on track to get those, as well as cost savings. Can you discuss where freight inflation and input cost inflation? I think you mapped those out at about $18 million and $10 million respectively at the midpoint. Where are those tracking relative to your original budget?
KenRomanzi: So we continue to expect inflation this year in cost inputs and in freight and our plans to combat that inflation are tracking within our guidance.
Bryan Hunt: And then next, Bruce, you talked about 5.4 times leverage by the end of the year. I think in the last call, you mentioned 5.2. Can you discuss what that relative change is? I imagine it's the acquisition of Clabber Girl.
Bruce Wacha: Yes, it's acquisition of Clabber Girl.
Bryan Hunt: And then lastly, you all sound pretty positive about the pricing environment. Is there anywhere within your categories, or within your channels that you're seeing heightened competitive activity? I mean I know you have bigger exposure to club.
Bruce Wacha: I'm sorry, you asked about -- well, do you mention club in the last piece?
Bryan Hunt: Yes, I was just wondering, are you seeing any incremental competitive activity from your peers, whether it's in traditional channels or in club, particularly with regards to private label?
Bruce Wacha: Not anything particular, I mean the business is always competitive. And so we're not seeing any -- we haven't seen in the recent quarters any more competitor -- more or less than what we're used to.
Operator: Thank you. Our next question comes from Karru Martinson of Jefferies. Please go ahead.
Karru Martinson: Just on the Clabber Girl acquisition. How much work that has to be done to integrate the business to see some of that sale start to drop down to the bottom line?
Bruce Wacha: Sure, I think the key thing to remember with Clabber Girl is we bought a full standalone business that had all sorts of corporate and family owned cost embedded into it. We're very excited about the transaction, it's performing as expected. But our view was to largely run as it was being run before, which include some of the burden of those costs for a period of time as we work through the key banking season. And so that's the game plan and things are proceeding as planned.
KenRomanzi: We're also taking the time with that acquisition, because we just implemented our own ERP system. So we want to make sure that is absolutely free and clear, so before we now integrate another busy into it. And so everything is a green light for pretty much the first of next year to be just about fully integrated.
Karru Martinson: And now with the three quarters under your belt of [indiscernible] distribution gains, I mean are we going to call this a trend now and where are you taking that distribution from?
Bruce Wacha: The biggest distribution gains we received was through the dollar channel. But it is important to note that when we were overlapping our sales -- negative sales, because of the overlap of the loss distribution, outside of the major customer that we lost distribution, consumption was up like 1%, which is pretty promising in that category. So this recent growth is certainly not going to be the future trend, we'll overlap that distribution. But before this occurred, our business was actually up very low single-digits, absent of distribution gains.
Q - Karru Martinson: And then just last, when we look at your target for year-end leverage, how should we think about M&A working itself into that 5.4 target?
Bruce Wacha: So, we're always active and looking for M&A opportunities and nothing really changed in that perspective. For us, the math always has to work, whether big or small from a pricing and valuation in a business that we want, and so we'll continue to evaluate. We're certainly aware of where our leverage is. We're certainly aware of where our stock price is. And all things included, the math has to work.
Operator: Thank you. Our next question comes from Robert Moskow of Credit Suisse. Please go ahead.
Robert Moskow: Ken, one of the concerns that I have articulated, and I think others have too, is that reinvestment needs might have to go up at B&G. Customers are more aggressive and they've invested more in data analytics in their supply chains and e-commerce. And B&G has been operating with a game plan of running a stable business, and I guess brands that have been around for a long time. Have you been able to -- obviously, the business stabilized this quarter, that's all good news. Are you seeing that you're able to run the business with the current level of investment pretty well? Or do you think that there is more capabilities that you might have to build in future years that might require more resources, given the environment? Thanks.
Bruce Wacha: When you say investments, I mean there's two types of investments in my line. One is the P&L investment in terms of marketing spend and shopper marketing spend and then getting ready for ecommerce and things of that nature. And the other is the capital spending. So I believe we do have enough capital spending to do what we need to do. At $45 million to $50 million a year, we are going to be -- and we're coming off a major IT infrastructure investment with our ERP system. We're going to be journeying a lot of those capital investments into further investment to drive cost savings, not just maintenance spend but investments to drive cost savings on the cost to goods line. And then in terms -- and one of those investments is a trade management system that's going to allow us to get at our largest expenditure on the P&L besides cost of goods is trade spending, and trade spending gets used in a lot of different ways. And we're hoping to take that and do more with that, those dollars like shopper marketing, like take -- participating in those, all those retail programs. So I believe we have enough in our P&L to be able to take part in that. It's just how we allocate that spending is going to be the most important thing, going forward.
Robert Moskow: And then a follow up, I think you mentioned that your sales growth in frozen started to slow in second quarter. Are you saying that in the back half, the pipeline starts building up again with more new products? Or do you think the competitive intensity is going to become a challenge to the back half? Thanks.
Ken Romanzi: No, we did less -- we had two innovation pipelines last year, spring and fall. And this year, we're only doing one. So we overlap the pipeline fill, so that doesn't concern us. That's just we didn't have a second shot at it in spring of this year. In addition to on the non-innovation, we had less trade promotion activity, which reduced volumes but that was planned and intended. So that's why Bruce mentioned, while it appears to be a slowdown, it was planned and not indicative of our expectations, going forward.
Operator: Thank you. Our next question comes from Carla Casella of JP Morgan. Please go ahead.
Carla Casella: Did you ever get the cash payment you made for the Clabber Girl acquisition?
Bruce Wacha: So we had tax payment obligation of approximately $71 million…
Ken Romanzi: No, Clabber Girl, it wasn't payment…
Bruce Wacha: Oh, the purchase price. Sorry, did you mean the purchase price in Clabber, $80 million.
Carla Casella: And that was all this quarter?
Bruce Wacha: Correct.
Carla Casella: And what was the tax payment?
Bruce Wacha: Gain on sale of Pirates, so when we saw the business, there was a tax payment. We effectively were able to delay that payment for about six months. So that flows through our cash from operation as well.
Ken Romanzi: It's important to note that that tax payment this quarter was as a result of sale of Pirates Booty, which allowed us to pay a large amount of debt back last year.
Carla Casella: Exactly. That goes to my next question. Did you gave the ABL and how much has drawn, and what's the availability on that at the end of the quarter?
Bruce Wacha: So our revolver, all of that information is in press release.
Carla Casella: I'm sorry, I missed it. Okay, great. And then just one last one, you mentioned on the last quarter, one of the last question on investment and talked a bit about how you want to redirect some of the spending out of trade. Are you seeing others do the same? Are you getting push back from retailers that you're trying to redirect trade spending?
A - Ken Romanzi: Well, there's a lot of -- we see a lot of dollars going into things like shopper market and things like that. So it's not like we're trying to take anything away, we're really trying to just redirect into all the new programs and initiatives that retailers have. So it's really about how we spend same amount of money with the retailers.
Operator: Thank you. And our next question comes from William Reuter of Bank of America Merrill Lynch. Please go ahead.
William Reuter: It sounds like you pretty successfully pushed through your price increases with your customers. Have you got some date or can you talk to me about how the POS was with those items after the price increases were pushed through to the final customer?
Ken Romanzi: Well, it's all there in Nielsen. Our consumption was up actually a little bit more in the first -- in the second quarter than it was for total B&G, up a smidge and more than it even was in the first quarter. So 1.5% growth of consumer consumption and that's very vibrant. So we haven't seen any elasticities beyond what we expected so far. It is early in terms of when that actually. We only have the s Nielsen results through the end of June. So retail prices were only affected by our price increase, it only take place in May. So you're not seeing a lot yet in terms of any changes in consumption pattern.
William Reuter: You guys have given the commentary about Nielsen, I was just -- that was obviously for across all of your products. And obviously, I'm sure there was a range of price increases. So I was just trying to get an early indication of what you might have seen, if there's anything different for those products that you had higher price increases?
A - Bruce Wacha: We haven't seen anything unexpected.
William Reuter: And then one thing you mentioned to an earlier question that you continue to see freight costs up. We've heard some indications recently that freight costs are coming down. You haven't seen anything and there's couple of journal articles that we've seen or you haven’t seen anything around that recently?
Bruce Wacha: We certainly hope those articles are correct. But we're not experiencing down versus last year. We're in terms of rate. Yes, where we are getting savings is our activities in terms of realigning both our dry and frozen.
William Reuter: And then last time we heard from you your leverage target was 4.5 to 5.5 times. Is that still the number that you guys would stick with?
Bruce Wacha: It is. That's very much our long-term leverage target.
Operator: Thank you. And our next question comes from David Palmer of Evercore ISI. Please go ahead.
Q - David Palmer: A question on Green Giant frozen, and just a follow up to Rob's question. You mentioned that there was slowing consumption, but that you have back weighted your marketing and promotions in that part of your business. Do you believe and that we will see that consumer takeaway growth bring Giant frozen perhaps reaccelerating in the next -- in the coming months in the back half of this year?
Bruce Wacha: Yes, mainly because of the launch of innovation in the fourth quarter.
Q - David Palmer: And just on the distributions, we can see in the scanner data, frozen vegetables you have ACV up there this quarter, but we're seeing some ACV losses across many other brands, like Ortega and Maple Grove and Spices. Could you talk about what's going on with regard to distribution? And perhaps SKU rationalization and how much of that is your own relation versus retailers?
Bruce Wacha: Sure, I mean there is always ebbs and flows on distribution. So some of it is self-inflected, some of it we're cleaning up our product line on lower margin products, some of its retailers being more red lining of skews that may not turn as fast. And our whole approach is that, particularly when we're launching new products, we're always looking at our own portfolio to make sure that we're justified to have incremental skews on shelf versus just keep adding, because we understand the pressures that our customers are under in terms of limited real estate on the shelf. So there's always puts and takes on the distribution line.
Q - David Palmer: And then just one last one on can, vegetables. Obviously, you're getting that good growth out of the dollar channel as you mentioned. Is that -- are you going to lap that? And should we just expect a more moderate growth or more stable performance from cans in a quarter or so when we lap that?
Ken Romanzi: Yes, absolutely, we would not model 25% growth. That's distribution growth. So we wouldn't be -- that's been a category declining in years. But we've actually done, other than one big distribution loss for a big customer, our business has actually been pretty good. For instance, we're growing it in Canada. Green Giant is a very, very strong brand in Canada. So they're actually up growing very, very nicely. But we wouldn't expect a lot of growth from cans post the overlap in new distribution.
Operator: Thank you. Our next question comes from Eric Larson of Buckingham Research Group. Please go ahead.
Eric Larson: Just a quick, and maybe I don't have all the numbers correct here. But it goes to your sales guidance. You brought it up obviously -- the increase is about $30 million to $45 million. So if you just break down the components of that. I'm just trying to make sure I understand what's in that increasing guide. You have $40 million to $50 million of probably incremental revenue from Clabber Girl. You have some offset obviously from Pirates. You’re going to have the benefit of a price increase, now it'll take a little while for most of that to kick in. My calculation shows that that puts a base sales assumption on your base brands of about 2%. Is that anywhere closer to ballpark? And I might have some of the divestiture revenues incorrect as well. I'm just trying to see if that is in the ballpark?
A - Ken Romanzi: Yes, so to make it real simple. Prior guidance was $1.635 billion, $1.665 billion and we increased that by between $30 million and $35 million for the addition of Clabber Girl for the year.
Eric Larson: And then everything else was net of all that. So that it's just Clabber Girl as your -- as the reason for your guide up?
Bruce Wacha: Correct. Tracking the plan was the nice addition of Clabber Girl.
Q - Eric Larson: And then now you're half way through the year and now your cost save are starting to kick in, you have better cost saves and you actually beat the bid on your EBITDA -- your adjusted EBITDA guide in the quarter. So is there potential upside to your guide in adjusted EBITDA for the next several quarters?
Ken Romanzi: I think we would keep it right exactly where it was, and that's what we're comfortable with.
Eric Larson: And that guide also includes Clabber Girl?
Ken Romanzi: Correct. Although, not a lot of incremental benefit from Clabber Girl in 2019, just given like we said earlier on the call, it came with a full corporate…
Eric Larson: The full, got it. Okay.
Ken Romanzi: For relatively small business and so we’re running it mostly as it is today. And like I said, don't expect major impact there.
Eric Larson: So that could be potential EBITDA upside, maybe in 2020 as you get through your ERP systems up. You can see that as maybe upside in the next calendar year?
Ken Romanzi: Correct, and that's why we…
Eric Larson: Okay, thank you.
Operator: Thank you. Our next question comes from Andrew Lazar of Barclays. Please go ahead.
Andrew Lazar: Just a couple of quick things. One would be, if we think about just volume and price as we go through the back half of the year. Can you talk a little bit about would you expect the impact of pricing to accelerate from here? Or -- because it doesn't sound like you were like at full run rate yet. And then would you anticipate volume to be likely down in the back half around what it had been, let's say, in the first half? Or couldn't there be some adjustment, consumers adjusted to higher prices and maybe volume kicks in a little bit? Or it isn't down quite as much in response to the pricing?
Bruce Wacha: So from a pricing standpoint, we laid out a plan and talked about $15 million to $20 million of increased price and through two quarters, we're tracking to the plan and we're happy with that.
Andrew Lazar: Does that -- do the $15 million to $20 million include the benefit that you had in the first quarter from some of the trade optimization, or is it something…
Bruce Wacha: We're not staging our guidance on the pricing, we're keeping at $15 million to $20 million, we feel comfortable with that.
Andrew Lazar: EBITDA cadence in the back half of the year. Maybe you could just remind us of couple of -- if there are a couple of discrete items between 3Q and 4Q that you'd want to call out just as we think through that?
Bruce Wacha: Yes, the primary things that I'd call out and mentioned a little bit earlier on the call and we're talking through the guidance is, last year benefited from about $7 million to $8 million from Pirates in the third quarter. And we obviously don't have the Pirates today. And so I would say that's your base plan in terms of are you up or down or flat for that. And then fourth quarter, it's a smaller -- we had it for shorter period of time, so maybe a couple of million dollar drag there before you get into performance for this year.
Q - Andrew Lazar: And then lastly, I guess a broader question. I'm just trying to get a sense of how you would characterize your full year EBITDA guidance at this point. And I asked that because -- and what I mean by that is conservative, giving yourself some room, somewhat flexible, because there has been -- I think it's safe to say a little bit more volatility in forecasting versus what's been reported, both up and down between first quarter and second quarter, and even going back to a little bit last year. So I'm trying to get a sense whether do you -- when you think about a range, do you generally think about, hey, midpoint gives us some room on both ends? Or are you just trying to get ultimately -- you'd be happy to get to the low end? Is there some flexibility there? You get the sense of what I'm going after.
Bruce Wacha: We gave a guidance number we're tracking to our plan, and I don't see anything that would suggest folks should be altering their forecast or estimates for the company. I think we're tracking where people were and where we were, very pleased to report that.
Operator: Thank you. Our next question comes from Ken Zaslow of Bank of Montreal. Please go ahead.
KenZaslow: If I didn't ask this question, I think you guys would be insulted, so I'll start there. Can you walk us through the capital -- the dividend opportunity? I'm assuming it's still in safe regards. But could you just take us a little bit through the cash flow and making sure that through the end of the year, we're in good shape there and there won't be any need for any capital raise or anything like that. That'd be where I start.
Bruce Wacha: Sure. So familiar question, and thank you for asking it. Dividend -- we're still committed to the dividend. Ken referenced on the call the longstanding commitment to the dividend. As people saw yesterday, our board reauthorized the dividend at the same level, and so pretty comfortable with that. And as far as the dividend coverage, based on the range of $305 million to $320 million for adjusted EBITDA, you're getting to $175 million, $180 million of EBITDA less cash interest, cash taxes and CapEx, to cover dividend of about $125 million.
Q - KenZaslow: And I mean there's no reason that you would even need -- outside of an acquisition, there'd be no need for you to raise equity of any sort, right? Is that fair?
Bruce Wacha: Outside of an acquisition, I don't see the compelling need to it. And we're certainly aware of what our stock price is today. I think people could see board authorization for additional share buyback of $50 million and the buybacks that we did over the last 18 months in terms of what our view is on the stock price.
KenZaslow: And then just on the business. Can you give us an update on the spices and what the outlook for that is? I might have missed it, so just would greatly appreciate that. And I'll leave it there.
Bruce Wacha: We don't have obviously guide to specific brand performance, but lot of the spice business is performing in line with expectations. We outperformed in first quarter of this year. And so there's a little bit of an timing. And then we also have an issue there, so it's somewhat of a pass through business. And so we had some lower raw material cost and that impacted pricing. And so sales down a little bit for the quarter, profit is very healthy and on a year-to-date basis, tracking in line with plan, so little bit of timing.
KenZaslow: Is there still opportunity for margin expansion within this business, given the infrastructure set up? Or is that passed this by now? And I will actually leave it there. Thank you.
Bruce Wacha: Margin expansion in spices, or in total business…
KenZaslow: Yes, in the spices business. I recall there was some opportunity in terms of distribution opportunities, and just consolidating certain plants or something like that. And I just didn't know where you are in that and if there's any opportunity there?
Bruce Wacha: Right now in total margin expansion, as we said, we're looking at the balanced pricing and cost saving to offset inflation. Longer term, we'd like to return to margin expansion but in the near term, margin maintenance is what we're planning.
Operator: Thank you. Ladies and gentlemen, that's all the time we have for questions for today. I would like to turn the conference back over to Mr. Ken Romanzi for any additional or closing remarks. Thank you.
Ken Romanzi: We just appreciate everybody being on the call. Good questions. And look forward to our next third quarter call. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation. You may now disconnect.